Operator: Good morning everyone, and welcome to IRSA's Third Quarter 2017 Results Conference Call. Today's live webcast, both audio and slide show, may be accessed through Company’s Investor Relations Web site at www.irsa.com.ar/ir, by clicking the banner Conference Call. The following presentation and the earnings release issued last week are also available for download on the Company's Web site. After management's remarks, there will be a question-and-answer session for analysts and investors. At that time further instructions will be given. [Operator Instructions] Before we begin, I'd like to remind you that this call is being recorded and that information discussed today may include forward-looking statements regarding the Company's financial and operating performance. All projections are subject to risks and uncertainties and actual results may differ materially. Please refer to the detailed note in the Company's earnings release regarding forward-looking statements. I'll now turn the call over to Mr. Alejandro Elsztain, Senior -- Second Vice President. Please go ahead, sir.
Alejandro Elsztain: Thank you very much. Good morning, everybody. We are beginning our quarter results nine months of 2017 in Page #2. And as you probably know, the Company has decided to change the valuation method, but from the next quarter -- from 30 of June of 2017. So today the numbers are going to keep as they were before. The financial consolidated result for the nine months, revenues grew up to ARS55 billion and as you know, we divided from Argentina ARS4.2 billion through the Israel Center operation ARS51 billion. The EBITDA that we achieved in the nine months was ARS7.2 billion, and from those ARS1.8 billion came from Argentina and ARS5.7 billion came from Israel. The net gain of the nine months was ARS3.8 billion, again from Argentina ARS737 million coming from Argentina versus last year ARS148 million and in the case of Israel bringing ARS3 billion from Israel. The Argentina Business Center we’ve been achieving very good results in the rental segment. EBITDA for the rental segment grew by 32%, -- almost 32% in the last -- in the third -- nine months comparing to last nine months. They were lower results in sales of investment properties, we decided to sell less this year comparing to the strong sales of last year and there is work in progressing to projects that Daniel is going to explain a bit later. And about Israel Business Center, the main highlights for the nine months, the strong results coming from the ADAMA sale that increased a lot -- the results of DIC and later the IDBD, and the increase on the share of the price of Clal one that will still hold on the balance sheet through the method of the evaluation of the share and there was a recover on the market value of that share. And some very good news of the quarter, IDBD has been able to issue notes at the Israeli market for almost NIS1.1 billion and did at a fixed annual interest rate of 5.4% to cancel existing debt. So this is a first issue of the Company after many years of not having the possibility on the market, so now the Company was able to raise capital for this year and next year too. So now, I will introduce to Mr. Daniel Elsztain.
Daniel Elsztain: Thank you, Alejandro. Good morning. On Page #3, starting on the Argentina Business Centers, we’re talking about shopping malls. We can see that the same shopping sales grew on this quarter 19.9%. This is a little below inflation, but its above last quarter. We can see also that the stock of our shopping centers grew a little bit by the expansion last quarter of Distrito Arcos and during this quarter of Soleil Premium Outlet for about 2,995 square meters, getting to a total stock of 340,000 square meters of GLA in shopping centers. Occupancy remains very stable, 98%. We see a very small decrease of 0.4, this is basically due to some movements on the stores, on the tenants. So the stock went up, occupancy remains stable, sales went up in pesos and we’re very stable in terms of visitors in our shopping centers. On Page #4, we can see some about the Office segment. We have a 100% occupancy for third quarter in a row in our portfolio. This doesn’t mean that we don’t have people going out, but our team was able to retrace the old tenants with new tenants in a very speedy -- very, very fast way. Prices on the Office segments are going up. We see landlords pushing a little bit on prices and demand is accepting those increases. So we went out to a total value of $25.9 per square meter per month, excluding all common charges. And talking about the stock, we’ve now a stock of 77,252 square meters. This is a small reduction from previous quarter due to a sale of a couple floors at the Intercontinental Plaza for $6.3 million at price of about $3,700 per square meters. But with the construction that we’ve underway, we will have an increase of that portfolio for 62% getting to 125,000 square meters at the IRSA Commercial Property and also a small balance of 14,000 at the level of IRSA. And that will give us in the IRSA Commercial Property an increase of about 80% of EBITDA coming from $19.5 million to an expected $34 million EBITDA per year and reaching a market share of approximately 12% of the market in Buenos Aires. On Page #5, we can see some CapEx for the fiscal year 2017. Total CapEx of $194.5 million that we can see. The construction work of Alto Palermo we finalized demolition, we’re working with the contractors who are bidding on construction, a total investment of $28.5 million for a construction of new GLA or approximately 4,000 square meters ,but in this number we’re including here the upgrading of the building up to 2017 standards and the city codes and requirements from regulators. The second line is the Polo Dot Office Building. This is an office park we’re building adjacent to the Dot Baires Shopping Center, one of our largest shopping center. This is going to be a building, the first building will be 32,000 square meters of GLA. We estimate the opening for the -- at the end of this fiscal year and the occupancy will be for that time approximately. Construction is underway, all the contracts with the construction company and vendors are signed. So it's on time and on budget. And the third one is the construction of the Catalinas Office Building. This is the best location today and the most expensive for Class A buildings in Downtown, Buenos Aires. This is a total investment of about $101 million, a total GLA of 35,500 square meters. Estimated opening for fiscal year 2020. Again, as we said on the previous one, construction is underway and on time and on budget. On Page #6, we can talk a little bit about our hotel. We’ve three hotels. Here we are seeing on this quarter good news. The average price went up, now reaching about $186 per room. Room occupancy also went up to 69.6%, so we’re going to see that revenues went up 30 -- almost 40% on this nine months period, reaching ARS568 million and EBITDA went up 63%. It's a big, big increase, reaching ARS49 million, but again it's a small piece of our total business here in Buenos Aires, in Argentina. Something about our international on the IRSA level. We -- Condor, remember, we’ve a participation here in Condor Hospitality Trust. This is -- this was a micro REIT dedicated to economy hotels and there was a big, big transformation on this company now with select service hotels from March 2017. Condor issued 4.7 million new shares at a price of 10.5, so today market cap after the conversion and this new issuance of shares is about $120 million, $130 million. Also in May there was an -- Condor extended a revolving credit line for $90 million to $150 million and the proceeds of the new line of credit and the new issuance was basically to refinance short-term debt and acquiring hotels and trying to quality strategy, so the company is sound. Remember, we changed here the whole team, the CEO, CFO, Administration, so this is a working company, now it's really speeding the strategy to achieving the results. Now they’ve a very good probably and achieving very good results. Here as you can see now we’ve IRSA and STEPSTONE that are on a little bit more than 50% of the company and the rest FLOAT on the market. So now going back to Alejandro, who will spend little bit about the Israeli Business Center.
Alejandro Elsztain: About the structure of the business in Israel, here we see in Page #8, today IRSA controls through Dolphin 68% of IDB and IRSA own 6% of DIC, we can see here in the graph. And from DIC we see Cellcom with 42%, [indiscernible] that is PBC, the real estate branch that we control 64.4%, Elron 50.3%, that is research in [indiscernible] 60.7%, that recently had a capital issue on the capital market in Israel too. And plus that, IDB Tourism, that is under sale negotiation, 100% on that, that is the airline that is under negotiation today and the very famous Clal insurance that we’ve still 54.9% that there were some news and about that we’re going to explain a little deeper. This is still at market value of the share and we were forced to sell up to 5%. So now I will introduce Matias to explain some details on the Israel Business Center and about the sale of ADAMA.
Matias Gaivironsky: Thank you, Alejandro. Good morning, everybody. Going to Page 9, here what we disclose is information in the previous quarter, that is post sale of ADAMA generated very good results for DIC and IDB and generated strong cash flow. So we finished the transaction, the final gain recognized for IRSA was ARS4.2 billion and DIC net cash flow positive was $800 million -- NIS800 million, sorry. Page 10, you see the evolution of the price of the shares of Clal, remember that we value Clal at market value, although we used to have 55%, now 50% of the company. We value these at market value, since we don’t have the voting rights of the shares. The evolution of the shares was very positive. So it generated strong gain for the nine months period for ARS2.2 billion. The shares increase in this period 27% and then you will see the last year in this nine months period decreased significantly, so we will have positive results against a lot in the last year. An important development happened in May this year, remember that here we have a claim from the regulator that is forcing us to sell shares in the market. There was a rule for the court that -- rule that we’ve to sell the 5% in the market. Although we’ve appeal right that we will define if we will exercise or not in this quarter or in May, we enter into disposal of the shares together with a swap agreement on total return of swap on the shares. So finally we sold 5% of the shares, but we keep the right on the economic value of the shares for the next two years. So if the shares go up, we will capture the evolution of the shares and if the price goes down, we will have to pay the difference. In Page 11, other important event for IDB was the DIC dividend payment. DIC announced dividends that will go directly to IDB and the rest of the shareholders IRSA remains -- remember that we control 6%, so IRSA receive ARS165 million of dividend from DIC. And here in the graph in Page 11, you can see the evolution of dividend payment of the companies, the different subsidiaries, that is if you see the evolution in 2010 to 2014, almost eliminates all the dividend payments. Now it's recovering in 2016 and 2017 start to paid again PBC and Shufersal and DIC paid for first time since 2014. So next page in Page 12, you can see the evolution of the debt on IDBD and DIC. Since our investment will decrease significantly, the debt of IDBD NIS2 billion -- from NIS4.8 billion to NIS2.8 billion and also in DIC decrease from NIS9.5 billion to NIS2.8 billion. Important news regarding our debt and our financial statements in this quarter after the refinancing in Israel for the first time in the last three years. IDB eliminate the going concern remark in the financial statements and the auditors signed for that. Also there was a removal of the Banks financial covenants of the restricted financial covenants on the bank loans were eliminated. So now IDB has more -- much more flexible debt structure. Then for the subsidiaries, the market remain very strong. The interest rate environment in Israel is very low, a lot of liquidity. So the subsidiaries are taking advantage of that. PBC issued that in April 2017 NIS 446 million at a fixed rate of 3.68%. Gav-Yam NIS430 million at 1.69% interest rate, by the way with maturity -- final maturity into 2026. DIC also issued at NIS555 million at 4.6% fixed. So all the subsidiaries are taking advantage of the market and that without any problem at a very low interest rate. Also an important news was credit rating upgrade in DIC from BBB minus to BBB and IDBD from CCC to BB with positive outlook. Going to Page 14, regarding our financial statement. As Alejandro mentioned, our decision to change the evaluation of our investment properties that basically will include malls, offices, land reserve. We will start to give impact to this change from -- for our next financial statement that we will plan to release in September will be our fiscal year. Remember that in IRSA Commercial Properties we already started, but for our financial statement at IRSA level we’re eliminating all the fact of the -- these appraisal that we maintain everything at historical book value for this quarter. So for the next quarter you will see a big change in all the figures. We engage new work to do the appraisal of our property, so it will be a third-party appraisal. Going to Page 15, here you have the evolution of the main lines of our financial statement, so starting with our operating income in the rental segment. The results were strong, 32.9% increase in our operating income basically all the lion shopping centers, office, and hotels are with very good results. So that is the evolution. In sales and development, you will see here a big decrease from ARS944 million to minus ARS42 million, basically last year we sold more investment properties than in this year that we sold. Remember, that we sold in the last year Dique IV [ph] that was 40 -- if I’m not wrong $42 million, $43 million disposal. And this year we only sold two floor of the Intercontinental Plaza building. Financials and others, also decreased from 82 -- ARS81 million to minus ARS71 million. Here you have two effects, Banco Hipotecario that we’ve lower results this fiscal year against the last nine months period, and also it was how we serve a conversion of Madison Building that we sold last year that was a positive impact in the previous year compared with nothing in this fiscal year. In Page 16, regarding the Israel Business Center of the operating income were positive, most of the line. Here we haven't included the comparison between the last year against this year, because in the last year we only consolidated for three months and here its nine months. So for that reason to more accurate the comparison, we haven't included, but you have that numbers in the financial statement. So positive in real estate and super market. Negative in telecommunication here that have mainly the amortization of all the infrastructure of Cellcom. So if you see the EBITDA figure for Cellcom is positive, also when you see the numbers in Israel for Cellcom are positive, in the income -- in the operating income. In our case its negative, because we’ve higher asset evaluation because of the PPA when we acquire and a higher amortization. And in the others, basically we’re including all the headcount of IDB and DIC. So it's almost the result on more for the holding company, that is no income and expense. Page 17, the -- you have the rest of the lines. The operating income we finished stable against the last year almost ARS3.3 billion against ARS3.1 billion this nine months period. The net financial results here you have an improvement from a negative result of ARS3.3 billion in the last year, against 2.3 -- almost ARS2.4 billion in the current fiscal year. From Israel here you have the evolution of Clal shares that was much higher in this year than in the previous year. In Argentina, you have the lower devaluation. Remember, that last year we have a devaluation of 56% and this year we’ve only 2% devaluation. So we’ve better results on all the exchange difference in our -- on our debt. And with this we finish the net income with a positive value of ARS3.8 billion against a loss in the previous year of ARS1 billion. The controlling shareholder part -- attributable to our controlling shareholder is ARS2.1 billion and the non-controlling interest is ARS1.6 billion. Regarding our debt, there are no -- the only news is we took a loan of $50 million basically to finance the development of Catalinas, the part of IRSA. Remember now 45%, it belongs to IRSA Commercial Property. So we increased a little lower debt. The net debt is $337 million today as of March. After that we receive dividends from IRSA Commercial Properties and also from DIC. So probably we will reduce a little this step going forward. So with this, we finish the presentation. Now, we’re open to receive your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And the first question comes from Jorel Guilloty with Morgan Stanley.
Jorel Guilloty: Good morning, gentlemen. So I have two questions. So the first one is on the consumer in Argentina. So does it seem like the consumer has turned a corner, that is they’re improving, because if I look at your shopping center sales, it seem to have pretty much stabilized around 20% same-store growth. They actually did a little better sequentially in this past quarter. And then the second question is at what point in time do you believe that IDBD can reach a sustainable debt level, or do you think it's already there?
Alejandro Elsztain: Thank you, Jorel. The first question, I would say that construction today, I mean, we see that we turn a little bit -- this quarter compared to the last one. But I will say that if you look today the picture consumption is weak today. I mean, if you talk to retailers, you will hear that the consumption is weak. And -- this is -- we think that this is just because of what’s going on today in the country as a whole. We expect that for the future, if the country grow we will follow that path in terms of real growth in sales. But I will tell you that increase that you see is because we had some promotions, and it was a better quoted than the previous one. But I will say that we completely turn the corner of -- in terms of consumption. With respect to the second question of how the financing of debt in Israel, very good news that DIC and IDB were able to sign issuing bonds locally and at good rate, little more expensive comparing to subsidiaries [ph], but still very good comparing to the compression of -- the rate they were paying before. You remember this was about 15% and they went to the market like close to 5%. So these in the holding level is giving you lot of room, so -- and in the subsidiary you’re seeing that the cost of capital is really going down and down and the companies are doing in the first quarter and in April majority of them they finance what they need for the whole year. So, that gives us more -- much more room to the Company level to decide what to do, quieter in each level of the assets.
Jorel Guilloty: Great. I guess, what I was trying to get to is, do you believe that the debt level -- you still have ways to go in terms of refinancing and deleveraging or are you near where you want to be?
Matias Gaivironsky: That will depend on disposals basically and dividends that will came from the subsidiaries. So for instance, the Clal dispose -- share disposal will impact directly a decrease on the debt. So we’re in a process of trying to sell some non-core assets at IDBD level, so probably we are able to conclude those sales. We will have a lower leverage for IDBD. And DIC, I will say that today we’re in very sustainable levels with a loan-to-value of close to 50%. So also it will depend on disposal or investment, but there I will say that all the debt is very -- trading very well, so no problem.
Jorel Guilloty: Okay. Thank you very much.
Operator: Thank you. [Operator Instructions] Okay, we’ve a question from Gordon Lee with BTG.
Gordon Lee: Hi. Good morning. Thanks again for the call. Just a quick question regarding the new accounting methodology, as it affects IRSA Inversiones Y Representaciones as a holding company. Obviously that impacts the assets held under IRSA Propiedades Commerciales, but I was wondering -- I suppose we should assume the same treatment for the land back at IRSA for the international holdings or Lipstick Building etcetera, but we also see that for the investment properties in Israel, for instance, properties held by PBC HSBC building etcetera. Will those also be impacted by the new accounting method?
Matias Gaivironsky: Yes, Gordon. We will have to have or equal system for the whole Group. So, so far, for instance, in Israel they already are releasing financial statement with a fair value of the properties and in IRSA we eliminated. So going forward, we will have a 100% of our investment properties of the whole Group at fair value, that will include Israel, will include the ISRA Commercial Property. Not necessary Lipstick Building, because Lipstick Building we’re not consolidating the asset. We are evaluating the equity method, not that as an asset and then for the Land bank, we will have the evaluation.
Gordon Lee: Perfect. That’s very clear. Thank you.
Operator: Thank you. [Operator Instructions] Okay. As there are no more questions at the present time, this concludes the question-and-answer session. At this time, I'd like to return the call to Mr. Alejandro Elsztain for any closing remarks.
Alejandro Elsztain: I think we’re finalizing a good quarter. Our next quarter will include these, the fair value at IRSA level, that will change and affect a lot the balance sheet too. The real estate is very good. We have very good occupancy and a lot of things under construction. So thank you very much to the analysts and investors helping us in this conference, and we see you next quarter. Have a very good day. Thank you very much.
Operator: Thank you. This concludes today’s presentation. You may disconnect your line at this time and have a nice day.